Operator: Good day everyone. And welcome to the Constellium Full-Year and Fourth Quarter 2016 Results Conference Call. All participants will be in listen-only-mode. [Operator Instructions] After today's presentation, there will be an opportunity to ask questions. [Operator Instructions] And please note this event is being recorded. I would now like to turn the conference over to Paul Blalock, please go ahead sir.
Paul Blalock: Thank you, William. Good day everyone, and thank you for your interest in Constellium. I would like to welcome everyone to our fourth quarter 2016 earnings call. On our call today are our Chief Executive Officer, Jean-Marc Germain, our Chief Financial Officer, Peter Matt. After the presentation, we'll have a Q&A session. A copy of the slide presentation for today's call is available on our website at constellium.com and today's call is being recorded. Before we begin I'd like encourage everyone to visit the company's website and take a look at our recent filings. Today's call may include forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Such statements include statements regarding the Company's anticipated financial and operating performance, future events and expectations and may involve known and unknown risks and uncertainties. For a summary of specific risk factors that could cause toady’s results to differ materially from those expressed in the forward-looking statements, please refer to the factors presented under the heading Risk Factors in our annual report on Form 20-F. All information in this presentation is as of the date of the presentation and we undertake no obligation to update or revise any forward-looking statement as a result of new information, future events or otherwise, except as required by law. In addition, today's presentation includes information regarding certain non-GAAP financial measures. Please see the reconciliations of non-GAAP financial measures attached in today's slide presentation which supplement our IFRS disclosures. I would now like to hand the call over to Jean-Marc.
Jean-Marc Germain: Thank you, Paul and good morning, good afternoon everyone. Thank you again for your interest in Constellium. I'd like to start with the highlights for 2016 include full-year shipments at 1.5 metric tons, they’re in line with 2015 and the Q4 shipments of 344,000 metric tons were up 2% on a year over year basis. Revenue was EUR4.7 billion in 2016 that is down 8% all due to lower metal prices which I remind you we passed through. Q4 revenue was EUR1.2 billion, up 3% from the same period one-year ago and that also was primary due to slightly higher metal prices in Q4 compared to last year. Constellium’s net loss was EUR4 million in 2016 compared with a net loss of EUR552 million in 2015. As a reminder, our 2015 net loss included asset impairment charges associated with our Muscle Shoals and Valley facilities. The net loss for the fourth quarter was EUR20 million as compared with a net loss one-year ago of EUR429 million reflecting the same factors. Adjusted EBITDA grew 10% in 2016 to EUR377 million and in the fourth was up 8% to EUR81 million from the same period a year ago and we are pleased with these numbers. Overall, we posted strong results in our P&ARP segments reflecting continued operational improvements particularly at Muscle Shoals and also strong momentum and significantly higher profitability in our AS&I segment and stable performance in our A&T segment. Finally, just a few weeks ago in February, Constellium completed the refinancing of the Wise Senior Secured Notes with unsecured Constellium senior notes. So all-in-all 2016 was a very important year for Constellium and we are pleased with the results of the year and the quarter, and the momentum throughout the year. We stabilized operational performance, we completed the peak spending period of our capital investment program and we are now focused on realizing the benefits of our investments. In addition, our recent capital structure initiatives result in a significant reduction in interest expense and the expansion of our maturity profile. These are solid steps in the direction of bolstering our financial flexibility. With that I will now hand the call over to Peter for further details of our financial performance and afterwards I will wrap up with some further updates on our end markets, our strategy, our investments and path forward. Peter?
Peter Matt: Thank you Jean-Marc and thank you all for joining the call today. Turning out to Slide 7, you will find the growth in adjusted EBITDA by segments for the full year at the top of the page and the fourth quarter at the bottom of the page. For the full-year 2016, Constellium grew adjusted EBITDA by 10%. AS&I segment increased its adjusted EBITDA by EUR22 million to a record EUR102 million. P&ARP achieved 10% growth in adjusted EBITDA improving by EUR18 million to EUR201 million. A&T was virtually unchanged at EUR103 million. Holdings and corporate accounted for EUR29 million of costs for the year consistent with the EUR2 million to EUR3 million we expected on a monthly basis. For the fourth quarter, Constellium achieved EUR81 million of adjusted EBITDA, up 8% year over year. The P&ARP segment was the best performer increasing adjusted EBITDA by EUR6 million to EUR43 million in the quarter. AS&I was up EUR3 million over last year reaching EUR21 million in the quarter. A&T was softer by about EUR4 million in the fourth quarter of 2016, due to a larger percentage of high value unique parts in the fourth quarter of 2015. Turning now to Slide 8 and focusing on the P&ARP segment. For the full-year 2016, shipments decreased 2% to just over EUR1 million metric tons on lower packaging and foil stock shipment. Automotive rolled product shipments increased 28% to 113 kt, this includes ABS and other automotive rolled products. Adjusted EBITDA increased 10% to EUR201 million for the year and adjusted EBITDA per ton increased 13% to EUR199 per ton on solid operational performance. The primary driver of P&ARP’s improved performance were the continuation of strong operational momentum primarily at Muscle Shoals and improved price and mix benefits in our European operations particularly in the fourth quarter. On the bottom right hand side of the chart, you'll see Q4 results which benefited for many of the same trends. Shipments were down 1% and adjusted EBITDA increased 19% to EUR43 million as compared with the same period last year. In the fall of 2016, we began ramping up production on our new ABS finishing lines in Neuf-Brisach, France and Bowling Green, Kentucky. Jean-Marc will discuss our progress on these start-ups in greater detail in a few minutes. Turning now to Slide 9 and focusing on A&T segment. For the full-year 2016, shipments increased by 5% to 243,000 tons and included a 2% increase in aerospace shipment and a 9% increase in transportation shipments. Despite higher shipments and improved cost, a weaker mix resulted in adjusted EBITDA remaining unchanged for the year at EUR103 million. Adjusted EBITDA per ton of EUR425 was down 4% reflecting a deterioration in mix. We also experienced this in the fourth quarter of 2015, where despite higher shipments, our adjusted EBITDA declined by 13% year-over-year and our adjusted EBITDA per ton declined by 25% to EUR384 per ton. Jean-Marc will comment in greater detail on what we're seeing in our aerospace business in his outlook discussion a bit later. But we expect slightly lower aerospace shipments in 2017 primarily due to excess inventory in the aerospace supply chain to be offset by slightly stronger shipment in our transportation, industry and defense markets. A few additional updates from A&T include the new pusher furnace at Ravenswood is operating according to design standards and is being used for production volumes where it is expected to improve our manufacturing efficiency and lower our cost. In addition, with respect to AIRWARE, we continue to make progress in increasing capacity and sales, and improving our manufacturing efficiencies. The build rate increases the Airbus A350 and the comeback of the Bombardier Series C will provide incremental sales opportunities. Turning now to Slide 10 and focusing on the AS&I segment. For the full-year 2016, shipments reached 217,000 tons, an increase of 3% on solid demand across all markets. AS&I reported a record adjusted EBITDA of EUR102 million which increased 27% over the EUR80 million contribution in 2015. Overall, for the year, AS&I demonstrated improved price and mix. This was evidenced in the adjusted EBITDA per ton were AS&I grew 24% over last year reaching EUR471 in 2016. We believe this is a sustainable performance and an opportunity for additional improvement in the future. Adjusted EBITDA in the fourth quarter grew 11% to EUR21 million from EUR18 million last year. And adjusted EBITDA per ton grew 7% to EUR423 per ton. AS&I continues to demonstrate solid execution across all products and facilities. In addition, our expansion projects are all on schedule and on budget as Jean-Marc will cover shortly. New program awards in crash management systems and automotive structures continue to drive the need to expand our capacity. In fact new business totaling over EUR1 billion of backlog in lifetime revenue was awarded to AS&I during 2016. One recent example is a new large battery box contract for a major electric vehicle project. In addition to our legacy business, we continue to see significant light weighting opportunities with both hybrid and electric vehicle. Now Turning to Slide 11, I want to switch gears and say a few words about our capital structure and our liquidity. As most of you probably know, we recently refinanced 2018 Wise Senior Secured Notes. This transaction fully integrates Muscle Shoals into the Constellium family and together with the December PIK/Toggle note redemption will reduce our interest comp by EUR27 million annually. In addition, through this financing we extended our 2018 maturity to 2025. Our nearest maturity is now 2021 as you can see in the chart at the bottom of the page. We believe this transaction was an important step in increasing our financial flexibility. On the next Slide 12, we have presented our current summary balance sheet and liquidity profile. Our net debt at December 31, 2016 was EUR2 billion and our cash plus amounts available under committed facilities were EUR537 million. While our leverage remains high, we continue to believe that our current capital structure and our liquidity provides the flexibility we need to realize the benefits of our investment strategy. Before turning it back to Jean-Marc, I want to provide you with two additional updates. In 2016, we changed the presentation of interest in our cash flow statement. Interest paid which we previously reported in financing cash flows is now reported in operating cash flow. In addition, we now report free cash flow which we have defined as net cash flow from operating activities less purchases of PP&E equity contributions, investment in joint ventures and other investing activities. As free cash flow is a non-GAAP measure, we provide the reconciliation in our press release. I would now like to hand it back to Jean-Marc.
Jean-Marc Germain: Thank you, Peter. So turning to Slide 14, I wanted to start by sharing with everyone our view of our end markets both in Europe and in the US. In automotive, we continue to see double-digit growth for the aluminum auto body sheet and automotive extrusions market in both Europe and in the US over the next five years and that is driven primary by the increased need for light weighting and it is underpinned by vehicles that have been designed for which we have contracts. In aerospace, the secular growth in air traffic coupled with a significant backlog in plane orders of approximately nine years suggests steady long-term demand for aircraft. Also over the long-term, we do expect composites will remain a factor but we believe that aluminum will continue to be the material of choice for aircraft manufacturers and will continue to grow albeit at a lower rate than the market for aircraft. In the short term, we are experiencing a temporary inventory overhang which we mentioned in Q3 and when coupled with reductions in selected white body build rates, we expect we will create headwinds for our A&T business in 2017. In packaging, long-term demand is flat to slightly higher depending on the geography. In Europe demand continues to grow based on the substitution of aluminum for steel and the current packaging market in Europe is actually at the moment about 85% aluminum and we expect the continuation of the shift towards aluminum. In 2016, on the other side of the ocean, the aluminum beverage can market actually posted its first gain in several years growing 1.2% in the US and Canada driven largely by the increase in craft beers moving to cans for which we are very pleased. Longer term the continued progression of ABS demand will also help further tighten this market. So moving to Slide 15, I'd like to give you a brief strategic update and to go back to some mentions I made in last quarters’ call. I mentioned that I was reviewing our senior management team and I can now say that the team reporting directly to me is complete with changes we've made in finance, manufacturing excellence as well as human resources. We also looked at the long-term operational strategic and financial plans for the company in the fourth quarter, this plan has been endorsed by management and the board, and it is a plan that we not only intend to execute but we have already started to execute and we will tell you more about this at our upcoming Analyst Day in a couple of weeks. Our growth investments remain on track and should begin to contribute and generate returns. I will go into greater detail on this point in just a few moments. Our capital spending has been very high in the past couple of years and it’s peaked at EUR355 million in 2016. And again we said we would instill greater discipline to our capital deployment process. We've reviewed our capital plans and put in place a strong methodology and process to govern future spending. And also we mentioned that we would take steps to enhance our financial flexibility. And as Peter just described, we have accomplished several initial steps around the PIK/Toggle notes and the Wise secured bonds in this process already so that we can simplify our capital structure, reduce our interest expense and lower our financial risk. Turning to Page 16, let me now take a moment to update you on our key projects and opportunities. Last September, I attended the official opening of our automotive sheet plant in Bowling Green, Kentucky. This plant which is a joint venture with UACJ has a capacity of 100,000 tons and will help meet the growing needs of the North American automotive market. I'm pleased with the progress we're making as production is increasing and customer qualification which is the most significant step at its least early stage is proceeding well. Our diversified customer base for this exciting facility adds complexity to the qualification process. However, we are on track, we expect to be halfway through our ramp up by the end of 2017. And again the diversity of the customer base is a good thing in our view in terms of reducing any risk to this project. Also in the fall of 2016 we launched a similar new automotive sheet finishing facility in Neuf-Brisach, France to serve automotive customer base in Europe. This equally important project is also performing well and I'm very impressed with its progress. We expect solid shipment growth from this project as we ramp up production over the next three years. In White, Georgia and San Luis Potosí, Mexico, we're on schedule and on budget for the new AS&I plant to open later this year and in 2018 respectively. And we have customer commitments for their capacity. Paul Warton, our President of Automotive Structures and Industry unit will further discuss these opportunities are at our upcoming Analyst Day later this month in New York. Turning to Page 17, I want to confirm the guidance we provided last quarter and give you a little additional color on the first quarter of 2017. So again, we expect high-single digit growth in adjusted EBITDA annually over the next three years. We continue with our capital spending target of EUR275 million in 2017. In addition, recognizing the importance of free cash flow, we are currently focused on a number of initiatives to reduce cost, improve cash generation in the immediate and intimidate future as part of our goal to generate positive free cash flow in 2019 and my sentiment towards that goal is improving compared to the end of last year. With respect to the first quarter of 2017, we expect it will be somewhat softer than the first quarter of 2016 as we expect A&T to continue to experience the headwinds at play in Q4 2016. Despite this, we remain on track for full-year results to be consistent with the range we have given and for all units to perform well in 2017. In conclusion on Page 18, I’m pleased with Constellium’s performance in 2016 and in the fourth quarter. In 2016, we delivered 10% growth in adjusted EBITDA in line with our updated guidance. We have strong performance in P&ARP and AS&I segments and stable performance despite the headwinds in our aerospace and transportation segment. Finally, we have simplified our capital structure and increased our financial flexibility. We’ll remain highly focused on continued operational execution and disciplined capital deployment. Before I open the call for Q&A, I will also remind you one more time that we have an Analyst Day scheduled for March 22 at the New York Stock Exchange and we look forward to seeing you there. For those of you who could not attend, the event will be webcast. With that William, we will now open the Q&A session.
Operator: [Operator Instructions] And the first question of today is David Gagliano with BMO Capital Markets. Please go ahead.
David Gagliano: First of all thank you for providing the additional color around the first quarter. My question is actually related to do that commentary plus the full-year commentary. I'm wondering if we could just drill down a bit further on the, for the full year on the drivers behind the high-single digits adjusted EBITDA target. For example, if you just give us by segment, what you think we should be modeling in for each segment as we go through the year. And then secondly, how much of your EBITDA target is somehow tied up under fixed margin contracts at this point?
Jean-Marc Germain: Right, David, thanks for the question and I will disappoint you in the level of granularity I will be giving, but I’ll try to add more color to my comments from earlier. So, for the full year we are going to - we maintain our guidance of high-single digit growth for EBITDA and this is driven by the continuation of the operational improvements that you've seen at play in 2016. And not all of them happened on January 1, 2016. They happened for the year to get some carry over into 2017. We also have pretty good visibility on our contracted revenues as we mentioned because of our pass-through model we pretty much know what our value added revenue is going to be for the year and that you know number is well north of 80% of our business which is contracted, right. So we've got pretty good visibility there. The little softness I'm describing for Q1 comes in the wake of, you know, or first of all there's seasonality right obviously. We’ve got aerospace which is soft right now and we’ll also - the timing of our outages in our can sheet is such that the beginning of the year is a little bit more of a challenge because some outages that we would have taken in the fourth quarter may have been taken in the first quarter, so that obviously reduces shipment - some level of shipments and puts some level of cost pressure in the first quarter. So, all-in-all those temporary things are going to go away [indiscernible] already done right with, and they will show washout before the end of the quarter and that's why we look at the rest of the year as a substantially better sequence of quarters and we are looking at relatively every unit to be appearing.
David Gagliano: So just one quick clarification, you said 80% of the business on the revenue side is contracted. Any reason that that should be different if we think about it from an EBITDA perspective?
Jean-Marc Germain: No.
Operator: The next questioner today is Matthew Fields with Bank of America. Please go ahead.
Matthew Fields: I just want to focus on the structures and industry segment for a little bit. The EBITDA per ton was down pretty far sequentially about EUR50 per ton or 10% quarter-on-quarter. I thought this was kind of like a high 400 EBITDA per ton sort of consistent performance, can you talk about this particular quarter and why profitability was down?
Jean-Marc Germain: Yeah. Well, I wouldn’t read into it too much and there is again seasonality. We all know that the last two weeks of the year, the automakers are not very much active. So there is a slowdown there and that's the main driver behind it, but we, I think Peter mentioned the EBITDA [indiscernible] we’re seeing for the year is a good number. We're pleased with it and we believe that it’s got some improvements, opportunities on a go forward basis.
Peter Matt: Yeah. I would echo that. I would not read any thought into the fourth quarter EBITDA per ton number.
Matthew Fields: Okay. And then just the Mexican plant that you're building, is that contracted to send cars, to go into cars that will be sold in the US or sold abroad?
Jean-Marc Germain: Most of what we have in Mexico is for platforms that are going to be sold in Mexico and outside of Mexico, but not in the US. So in case, if anybody's worried about price policy, for that specific reason, we're not worried.
Matthew Fields: I think you got the gist of my question there. On the A&T side, we’re pretty, I think, well familiar with the aerospace destocking at this point, but on the transport side, we're seeing some nice inflection points of the class A truck orders. Are you seeing a corresponding increase in trailer build rates on that side of the business for you?
Jean-Marc Germain: It's early to tell and we've suffered in transportation segment in 2016 and we're still seeing it soft. So if anything, those early signals are encouraging for us.
Matthew Fields: But nothing yet on the order patterns?
Jean-Marc Germain: It's not moving the needle yet. I just need to come back to your comments on the S&I, right. Quarter over quarter, it’s still up in ‘16 versus ‘15 and the improvement over the course of the year is even more significant, right where we showed 24% improvement in EBITDA upturn in ‘16 versus ‘15 and I think that's a good story and as always, give and take in a given quarter, but a very good story unfolding.
Matthew Fields: Absolutely. I mean, you had 470, 497, 486, which is why this quarter was a little bit of a surprise and that's why I asked about it at?
Jean-Marc Germain: That’s right. Thank you.
Operator: The next questioner today is Brett Levy with Loop Capital. Please go ahead.
Brett Levy: Hey, guys. First for Peter, good to hear from you again. To start out with the CapEx for the year, you gave a number. Is there any way of kind of breaking it down by projects or giving a sense as to what portion of that is maintenance?
Paul Blalock: So I’ll answer that Brett and Peter will chime in. So we don't like to break it down too much, but we've communicated that our maintenance CapEx is in the area of 175 million and that’s good maintenance that maintains us very competitive. So you get 100 million of growth projects roughly in it. And obviously given the strong growth profile we’re seeing in AS&I, I mean Peter talked about a lot of booked business, more than two times our annual business was booked last year in that segment, a lot of the CapEx is going towards AS&I, which we like because it's small sized projects on the smaller end. I don’t want to say that 10 million is small amount of money. Every dollar counts, but it’s on the smaller side of the project and it’s underpinned by contracts with customers.
Peter Matt: The other thing I’d add Bret is that and good to talk to you again. But the other thing that I would add is that this is an EUR80 million reduction from what we spent in 2016. So the direction of our capital spending in conjunction with kind of increased discipline we're trying to show on our capital spending and cash generation is down.
Brett Levy: And actually it leads right into the sort of the follow up, which is looking at ‘18 and ‘19, do you see that direction continuing to trend lower in CapEx?
Peter Matt: Yeah. Look, we’ve not put out any guidance for ‘18 and ‘19, but what I would tell you is the - our inclination is to try to bring it down and we will not be bringing it higher.
Brett Levy: And then the last one is more of a theoretical thing. I know that a lot of the initial work on the transformation from steel bodies to aluminum bodies was results in a 30% CAGR kind of growth rate from 2015 through 2020. And as you look at some of the political changes and some of the other challenges and that sort of thing, would you adjust that number based on what you're hearing from the platforms or when these platforms may be shifting over to aluminum, just, it was sort of a big study and sort of got people very optimistic about the space. Would you temper that 30% CAGR in any way as you look at sort of the outlook today?
Jean-Marc Germain: So that's a good and very topical question obviously. So in our plans, we have always planned on more like 20% growth rate for autobody sheets, number one. Number two, the cars that are being built by definition already designed and there's quite a few cars that are designed that are not built yet that are underpinning the growth of our shipments over the next two, three, four years. So we do not see an impact on the delivery and the execution of our current capital investments in both the US and Europe. Now, with the announcement by the administration that they would reinstate the mid-term review of the [indiscernible] can provide some opportunities for car makers to not be as aggressive as they were on their light weighting. I think it's too early to tell and it could be speculation, but so it may delay the adoption of aluminum, but I think this is a 2020, 2021, 2022 kind of impact on volumes for us and on new volumes really, not growth of new volumes and we believe our lines are fully committed now.
Operator: The next questioner today is Evan Kurtz with Morgan Stanley. Please go ahead.
Piyush Sood: Hi, Jean-Marc and Peter. This is Piyush Sood filling in for Evan Kurtz. Couple of questions. First one, how should we think about auto body sheet startup expenses in your EBITDA, whether in 4Q or 2017, would you be able to quantify it in any way?
Jean-Marc Germain: So if you look at our financials and the disclosures, you'll see that we have some startup costs factored in, in the financials and in the 2016 year, we've got a EUR25 million number factored in for startup costs across the DIW line.
Piyush Sood: And so something similar for 2017 is probably a good ballpark for us to use?
Jean-Marc Germain: Yeah. I would say it's definitely going to be lower, I mean that obviously the biggest chunk of the startup costs is in the front part and we’ve made a lot of progress. So I would suspect that it’s required, I don’t have a precise number for that, but it will definitely not be the same number.
Piyush Sood: Okay. Thanks for the color. And a follow-up, if I heard your correctly, you said auto body sheet planned in the US will be ramped up halfway by the end of this year and Europe, I think the full ramp up is like three years away. So when you say a ramp up, should we think of it as commercial revenue or should we think of it as production that’s still getting qualified?
Peter Matt: No. It’s full commercial revenue but within two years in North America and three years in Europe. So at the end of ‘18, we’re running flat out in North America, at the end of ‘19, we’re running flat out in Europe.
Operator: The next questioner today is Christian Georges with Societe Generale. Please go ahead.
Christian Georges: Yes. Thank you. Two questions. On your operations, I think it’s three quarters in a row that we’re having flat volume developments and within that, should we consider that going forward, we’re going to continue seeing relative weakening of packaging volume against relative improvement of automotive volume. The second question is historically, you’ve been giving us some hint on the what was the contribution of Muscle Shoals in the EBITDA of division, I think it was about EUR22 million in the second quarter, 26 in the last. I mean, has this been a steady performance in the fourth or has there been some more weakening there than that have been in the rest of the business. And my last question is on the joint venture in your P&L, 14 million less, what should we consider looking forward on this, is this a maximum loss you’re going to get from the joint venture that’s gradually receding. Thank you.
Jean-Marc Germain: Sure. So on the volumes on top, Q2, Q3, Q4, so we have seasonality. Q2 is a very strong month, very strong quarter because we need to make the cash and [indiscernible] in time for the season. Q3 is also seasonally good, but not as strong as Q2 and Q4 is obviously less strong. So, that’s a typical pattern for it. Now, if you step back and look at it strategically, what we’ve said is as automotive sheet grows, this will displace to the extent and that continues, right, it will be the case, this will displace less profitable products. So if auto body sheet is not there, we’ll make more auto body sheet and we’ll therefore displace a bit of cash. So that’s the equation on a go forward. And we run the system that’s been liked around at full capacity, it’s not just possible and optimize our product mix and make sure we make the most money out of the assets we have before we invest into expanding our asset base in [indiscernible]. Your second question about Muscle Shoals, so we’re now fully integrated, part of the family and we do not plan to communicate the financial performance of Muscle Shoals standalone. So I’m sorry and I apologize for disappointing you. And on your third question about the JV, P&L and the $14 million, so Peter?
Peter Matt: Yeah. No problem. So the P&L impact was EUR14 million just to be clear. I think you said a different number, but in terms of next year, as we look forward, we think probably 7 to 8 is probably a good approximation and that’s after kind of financing costs.
Christian Georges: So we have more or less next year and then perhaps breakeven in two years from now would be a realistic?
Peter Matt: Yeah. I think that, because if you think about it, so we have ‘17, if we were to get kind of half way through the ramp up and then in ‘18, we’re fully ramped up, we should be trusting into breakeven and positive earnings.
Christian Georges: Great. And can I ask just one quick question here, I see that you served some terms to try to have get control of the plant there, I mean what is the situation there, are you discussing with them for one of the other stakeholder’s assets or what you want to do?
Jean-Marc Germain: So the CR facility or what you will refer to it, we own it. When the separation between what was Alcan and Novelis took place in 2005, they’re negotiating for and separation took place in 2005. It was an agreement that Novelis would be using part of the facility building that has a number of equipments against a lease. That lease contract we believe that Novelis has breached material terms of the contract and we have therefore issued a termination notice to them and they are considering their options and so are we.
Operator: The next questioner today is Sean Wondrack with Deutsche Bank. Please go ahead.
Sean Wondrack: Hi. Good morning. Just a few follow-ups for you guys. Just maybe think about EBITDA in 2017, you've guided that the first quarter should be down a bit, but for the full year, it should be up in the high single digits. That sort of implies that sort of back end loaded. How do you see the cadence of EBITDA between Q2, Q3 and Q4 playing out. Should we get like a big bump in Q2 or should things start to strengthen as we get through the year?
Peter Matt: I would not comment on this. I'm sorry.
Sean Wondrack: Okay. No comment. Okay. So how about with respect to working capital in 2017. Can you guide us in either direction, should we be sourcing, using working capital, do you need working capital in these new facilities, how should that play out?
Peter Matt: We actually think, Jean-Marc made the comment that we have undertaken a series of initiatives to focus on costs and cash improvement in the company and working capital is one of the opportunities that we see in the company. So we will be focused on kind of reducing working capital over the course of the year.
Sean Wondrack: Okay. So do you expect that will result in a source of working capital or flattish working capital, what is your underlying assumption there?
Peter Matt: We believe that working capital should be a source of cash this year for sure. We have not quantified kind of the magnitude of that source, but we think there are some opportunities in working capital.
Sean Wondrack: Okay. Great. Thank you for that. And then just real quickly to hit on the second cap line that we are pursuing in the US, can you talk about how that's been developing, have your thoughts changed at all. Can you comment on that please Jean-Marc?
Jean-Marc Germain: Sure. So we’re in discussions with a number of carmakers, we’re actually pushing the envelope on the first cap line as being full as we’ve reported. But we don’t have yet made, we haven’t made yet any determination with second cap line in the US. And then, either way, we think of it as given the fact that the Neuf-Brisach line has longer ramp up period than the Bowling Green one, we may use more of the Neuf-Brisach line to feed the North American market and therefore delay the need for investment in the US, which is a more effective use of cash and you see that our returns for our investment in ST3 and Bowling Green.
Sean Wondrack: Okay. That's very helpful. And then just very last question, in one of your items of guidance that you had said is you're targeting free cash flow in 2019. I believe in the last call, you had said this is depending on potentially a contract and it was a contract that you had out there with potentially like Wrexham, has anything changed there or has that been resolved and that gives you more clarity as to free cash flow in 2019 or are we still where we were last quarter?
Jean-Marc Germain: So the contractual relationship with the customer and I'm not commenting on whether it is one you're mentioning or not, the contractual relationship with the customer is unchanged. So we’re still at risk of this being triggered. However given the trends we have, the activities we see ahead of us, I said earlier and I'm saying it again I feel much more comfortable in our ability to be free cash flow positive in ‘19, even if this negative event with this customer is triggered.
Operator: The next questioner today is Jorge Beristain with Deutsche Bank. Please go ahead.
Jorge Beristain: Good morning, guys. A question on the packaging side. There's been some recent start-ups of plants by Crown and Canpack in Europe and I'm just wondering if you could comment if you'll be supplying them with aluminum can sheet and just kind of dimension a number or what kind of bump that could provide to PARP?
Jean-Marc Germain: So, Jorge, we're not commenting on individual customers, but you're right to say that there is capacity increases in Europe. So that's good for the market. That's good for us. At the same time, I think everybody has seen that some of our competitors have commented on tension on price and volume and increased competitiveness in can, so there's some good things developing here and some not so good things developing there. Overall, we remain balanced in our outlook for can and we’re delighted to see new can plants opening.
Jorge Beristain: Okay. Your EBITDA guidance for the next three years of high single digit. Can you comment if you view that as being kind of an even cadence of high single digits every year or do you view it being kind of more back end skewed towards 2018, 2019?
Jean-Marc Germain: Even-ish. It’s not a hockey stick. That’s exactly your concern, because it should be nine as well.
Jorge Beristain: Yeah. And then just, could you comment a little bit about what caused some of the quote unquote other gains and losses net swing from, you had about a EUR19 million gain in the third quarter and that swung to a EUR19 loss in the fourth and could you just comment if some of those were related to the refinancing and how much of those are sort of one-offs and if you could talk about what's cash versus non-cash because that was a pretty big swing and contributor to your fourth quarter mess?
Peter Matt: Yeah. It’s predominantly mark-to-market adjustments on currency and metal derivative positions and it’s predominantly non-cash.
Jorge Beristain: If knowing where we are currently in the quarter against metals moves that have already taken place, do you see or could you give us any guidance for what 1Q ‘17 could look like for that item?
Peter Matt: Yeah. I don't have a good number, Jorge, so I don’t want to put that out there.
Jean-Marc Germain: Again, we’re best model. Right. The whole purpose is to insulate our cash flows from the variations of currencies and LME and those numbers of non-cash and we like to see them balancing one way and the other because it shows that our hedging is effective.
Jorge Beristain: Okay. Was there any sort of discrete cash charges from the debt refinance that impacted 4Q that will not reoccur in 1Q?
Jean-Marc Germain: I don’t think so. Peter?
Peter Matt: Yeah. I guess your question is yes, because we had two operations, because we had the redemption of the fix notes in Q4 and the refinancing of the redemption, EUR2 million is the number I think you’re looking for.
Operator: The next questioner today is Karl Blunden with Goldman Sachs. Please go ahead.
Karl Blunden: Good morning, guys. Thanks for taking the question. Just two longer term ones here. Aerospace has been a little disappointed I guess in terms of the inventory correction. At what point in time, do you kind of reassess your longer term expectations for that end market. And have your long term expectations changed at all over the last couple of months?
Jean-Marc Germain: No. It’s got no bearing on our long-term, not that we don’t ask ourselves the question, but our answer is, it’s got no bearing on the long term outlook. We believe the aerospace is a good market, continues to grow and in discussing with this and doing domestic, deliver, deliver, deliver, there are hiccups here and there in the supply chain and but that’s something that happened for at least 25 years and it’s going to continue for 25 years, but the outlook remains very solid.
Karl Blunden: Got you. And then just on the auto and body and wide side of things, there is a lot of with regard to the new administration and potential easing of environmental CAFÉ standards pushing back penetration or slowing it. What's the gating factor you're seeing with the customers right now? These are long term decisions obviously and the one thing I have in mind specifically is, if we do see higher CapEx expensing, it's still a potential outcome, would that help you from reducing the cost of retooling or is that not really a material driver of the business?
Jean-Marc Germain: Yeah. So I think the outlook here again, it's a bit of a speculation because we don't know what relaxation if any there will be to the standards right, but fundamentally, light weighting continues. Not everything is driven out of rules that are made in Washington to states of their own views. We have - electric vehicles are growing. They're very good for aluminum, you get cities in the world that are putting strict limits on pollution and controls and Europe is a very stringent emissions scheme and it would be the diesel gates, the scrutiny on meeting those standards is even higher. So in the grand scheme of things and then all of us, we like to drive bigger and more equipped vehicles and if you don't trim the weight off, then you just can't get out of your parking garage as it becomes heavier, right. So we think fundamentally the light weighting is going to continue. Is it going - if the CAFE standards are relaxed, there is a possibility that this model, that this carmaker was thinking maybe we’ll convert maybe we will not, maybe they will decide to not convert, but if we don't think it is going to fundamentally change the outlook for aluminum in automotive. And we will talk more about that in two weeks’ time, but we remain pretty optimistic.
Peter Matt: I’m sorry and I just want to add again, which I mentioned earlier, in the next four, five years our book of orders is not going to change, right, I mean, people are not going to move back a car that’s already on the roads from aluminum to steel, because they can burn more gas. Right.
Karl Blunden: Sure. And that’s helpful to hear the more granular take. It sounds like your specific conversations haven't changed yet. So that's encouraging. Thanks very much.
Operator: Our final question today will come from Evan Kurtz with Morgan Stanley. Please go ahead.
Piyush Sood: Thanks for taking the follow-up question. Just housekeeping thing and I just want to take if your EBITDA growth target of mid-single digits, are you proportionately consolidating the UACJ JV in those numbers?
Jean-Marc Germain: We are not.
Operator: This will conclude the question-and-answer session. I would like to turn the conference back over to CEO, Jean-Marc Germain for any closing remarks.
Jean-Marc Germain: Thank you, William and thank you everyone for attending the call again with lots of discussion on our guidance. I think it comes across very strongly that we believe we've got a better strategy, we’re executing anything, we feel confident about the outlook. [indiscernible] it's not always linear from here to there, but we are very confident in our ability to grow EBITDA in high single digits over the next three years, be free cash flow positive in 2019 and I very much look forward with the whole management team to see you in New York on the 22 of March. Thank you so much and have a great day.
Operator: The conference has now concluded. Thank you all for attending today's presentation and you may now disconnect your lines.